Operator: Welcome to the Seattle Genetics Fourth Quarter and Year End 2007 Financial Results Conference Call. Here in today’s presentation all parties will be on listen only mode. Following the presentation the conference will be open for questions. (Operator Instructions) This conference is being recorded today, Thursday, February 7, 2008. At this time I would like to turn our presentation over to the Associate Director of Corporate Communications, Peggy Kingston. Please go ahead 
Peggy Kingston: Thank you operator. I would like to welcome all of you to Seattle’s Genetic Fourth Quarter and Year End 2007 Conference Call. With me today a are Clay Siegall, our President and Chief Executive Officer, Todd Simpson, Chief Financial Officer, Eric Dobmeier, Chief Business Officer, and Tom Reynolds, our Chief Medical Officer. Today’s conference call will include forward-looking statements based on current expectations. Such statements are only predictions and actual results may differ materially from those projected. Please refer to the documents that we file from time to time with the FCC and which are available on our website for information concerning the factors that could affect the company. With that I will turn the call over to Clay.
Clay B. Siegall: Thank you Peg and thank you all for joining us this afternoon. 2007 was a year of superb progress for Seattle Genetics. We entered into a SGN-40 product collaboration with Genentech, a deal with the potential value of more than $860 million that allows us to broaden the clinical development for SGN-40. We reported multiple completed remissions with SGN-33 at well-tolerated doses in AML, a leukemia that is in dire need of therapies that can extend survival. We reported multiple objective responses in the dose escalation Phase I trial of SGN-35 in Hodgkin’s lymphoma demonstrating not only the significant antitumor activity of SGN-35 bus also the therapeutic potential of our proprietary ADC technology to empower antibodies. We advanced several preclinical programs toward future clinical trials, notably SGN-70 which we plan to move into the clinic late this year. We were nearly $40 million dollar cash flow positive from operating activities during 2007, which includes more than $95 million generated licensing and collaboration. We ended 2007 with a cash position of $129 million which was bolstered by the $97.5 million in net proceeds from our recently completed financing. This provides us with the financial strength to aggressively advance our pipeline including commitments to manufacturing and clinical trials that are necessary to position SGN-33 and SGN-35 for regulatory approval and ultimately commercial launch. Today I will highlight the progress we are making on our programs and then Todd will go over the financial details for the fourth quarter and year 2007 as well as our financial outlook for 2008. Then we will open the line for questions. I will start with SGN-40 the human antibody targeted to CD40 that we are developing under our worldwide collaboration and in agreement with Genentech. Our current clinical development efforts are focused on Non-Hodgkin’s lymphoma and multiple myeloma. During the fourth quarter of 2007 and early 2008 we initiated 3 combination clinical trials of SGN-40 triggering a combined 20 million in milestone payments from Genentech. Initiation of these trials brings our SGN-40 clinical program to 4 ongoing trials. First a Phase II single engine trial in relapsed or refractory diffused large B-cell lymphoma. We anticipate that enrollment will be completed in this study during 2008. Second a Phase IIb trial of Retuxan and Ice plus or minus SGN-40 in second line diffused large B-cell lymphoma. This global study is randomized, double blind and placebo controlled in over 200 patients. Third, a Phase Ib of SGN-40 plus Retuxan in follicular and marginal zones Non-Hodgkin’s lymphoma. Fourth, a Phase Ib trial of SGN-40 plus Revlimid and Dexmethadone in relapsed or refractory multiple myeloma. Within the next few months we and our collaborator Genentech expect to initiate two additional clinical trials, a phase Ib trial of SGN-40 plus Retuxan and [Genthar] for relapsed or refractory diffuse B-cell lymphoma patients who are not eligible for intensive therapy and a Phase Ib trial of SGN-40 plus Velcade for relapsed or refractory multiple myeloma. Our collaboration with Genentech entered into the year has been positive for the program. We are excited by the progress of the partnership and robust joint development program to evaluate the potential of SGN-40 in Non-Hodgkin’s lymphoma and multiple myeloma both as a single engine and as a combination for standard regimens. I will move onto SGN-33, our humanized antibodies targeting CE33. At the American Society of Hematology Meeting in December we reported in our Phase I dose escalation trials 7 of 17 patients with AML achieved objective responses including 4 complete remission, 1 complete remission with incomplete platelet recovery and 2 partial remissions. SGN-33 was well tolerated at doses ranging from 1.5 milligrams to 8 milligrams per kilogram with no dose limiting toxicity or immunogenicity identified. We were also pleased to demonstrate that this SGN-33 dose and regimen resulted in 90% saturation of both marrow blasts at the 8 milligrams per kilogram dose. Based on these promising data we are enrolling patients on a single agent Phase Ib trial that will further evaluate the activity of SGN-33 at 8 milligrams per kilogram. We are well on our way towards accruing 50 AML and MDS patients in the study and anticipate recording data in the second half of 2008. In the fourth quarter of 2007 we initiated a Phase IIb study of low dose cytarabine plus or minus SGN-33. This trial will accrue approximately 210 AML patients 60 years of age or older. Older AML patients have limited treatment options, particularly because many of them can’t tolerate the side effects of intensive chemotherapy regimens. Their median survival from diagnosis is less than 6 months, evidence that there is an unnecessary need for therapy in this patient’s population. The primary end point of this randomized Phase IIb trial is overall survival. In addition to developing SGN-33 for older patients with AML we are planning additional studies of this agent in the treatment of MDS and younger patients with AML. Our third clinical program is SGN-35 a proprietary antibody drug conjugant that is in a Phase I clinical trial for patients with Hodgkin’s lymphoma or CD30 positive T-cell lymphoma. In November 2007 we reported interim data including multiple objective respondents at well-tolerated doses. Notably more that 75% of patients treated with SGN-35 across all dose levels had measurable reductions in tumor volume. We plan to report further clinical data from this trial including additional objective responses during the first half of 2008. Our clinical data suggests that SGN-35 has strong therapeutic potential for the treatment of Hodgkin’s lymphoma and other CD30 positive malignancies. We intend to aggressively move this product candidate forward including initiation of a second Phase I clinical trial this quarter that will evaluate weekly dosing of SGN-35. During 2008 we also expect to lay our clinical development pathways including our registration strategy. Our next product candidate which we plan to advance into clinical trials during 2008 is SGN-70 a humanized antibody targeted to CD70. We believe that SGN-70 has significant application for the treatment of autoimmune disease due to the expression of CD70 unactivated but not resting T and B cells. We have generated compelling data in preclinical models of autoimmune disease and expect to report these data later this year. SGN-75, an ADC targeted CD70, and our antiCD1980C are two additional programs we are advancing toward clinical trials. Our preclinical efforts ensure continued pipeline depth and we look forward to updating you on these exciting therapies as they move forward. There are a number of milestones sited across our portfolio in the year 2008. For SGN-40 we and Genentech will initiate 2 additional combination clinical trials for a total of 6 ongoing clinical trials in Non-Hodgkin’s lymphoma and multiple myeloma. For SGN-33 we expect to report data from the Phase Ib single agent trial later this year, advance the Phase2b trial in AML and pursue additional combination studies for SGN-33 for the treatment of MDS. For SGN-35 we plan to report additional objective responses from the ongoing Phase I trial, initiate a weekly dosage trial and provide our development strategy later this year. For SGN-70 we plan to initiate a Phase I trial for autoimmune disease. 2007 was the year of great progress for Seattle Genetics that had 3 clinical stage programs that each showed single agent objective responses in well tolerated doses. We demonstrated that our ADC technology can empower antibodies, is therapeutic for cancer and we continued to advance our preclinical programs to ensure future pipelines and strengths. We look forward to keep in you updated on our progress in the year ahead. Now I will turn the call over to Todd to discuss financial results.
Todd Simpson: All right. Thanks Clay, thanks everyone for joining in on the call this afternoon. Today I will highlight our fourth quarter and year end 2007 financial results as well as provide our 2008 financial outlook. Revenues tripled in the fourth quarter of 2007 coming in at $7.8 million and more than doubled to $22.4 million for the year in 2007 compared to 2006 in slightly above our guidance. These increases reflect amounts earned under our SGN-40 collaboration with Genentech which was signed in January 2007. As a reminder, milestone payments, reimbursements in the $60 million dollar upfront payment from Genentech are recognized into revenue over the 6 year development period of the collaboration. During the fourth quarter of 2007 we achieved $16 million in milestones triggered by SGN-40 clinical trial initiations. From a revenue recognition standpoint there is a catch up effect for milestones as they are achieved. Since we are not approximately 1 year though the 6 year development period. Q4 revenues include 1/6 of the $16 million or approximately $2.7 million. The remaining 5/6 of this amount is deferred and will be recognized over the next 5 years of the collaboration. Operating expenses which were in line with our guidance increased in 2007 and reflect a substantial progress made in our key development programs during the year. Research and development expense in the fourth quarter of 2007 with $20.1 million up from $11.1 million from the fourth quarter of 2006. R&D expense was $64.8 million for the year in 2007 compared to $40.1 million in 2006. These increases were primarily driven by expanded clinical development in manufacturing activities. Of note are clinical trial costs for SGN-40, SGN-33, and SGN-35 that increased both quarter over quarter and year over year in 2007 reflecting Phase IIb studies underway for SGN-40 and SGN-33 and rapid patient accrual under SGN-35 clinical trials. Also contributing to the increases in 2007 R&D expenses were manufacturing campaigns for SGN-33 and SGN-70 to provide clinical supply for upcoming trials. Increased employee costs primarily in our clinical developmental groups. SGN-40 development costs which increased substantially in 2007 are include in our R&D expense but are reimbursed by Genentech under the collaboration. Non cash share basis compensation expense for the year in 2007 was $7.9 million compared to $4.7 million in 2006. 2007 was a strong year for the company from a financial standpoint. We received more than $110 million in cash payments including payments received under SGN-40 collaboration, our ADC collaboration, investment income and other sources. We ended 2007 with $129.6 million in cash and investments. When combined with net proceeds of $97.5 million from a recent common stock offering, the company now has a cash position of more than $220 million allowing us to press forward with our development plans in leading to a number of important milestones in 2008 and 2009. As you heard from Clay, we have an ambitious set of developing goals across our pipeline. We expect total operating expenses in 2008 to be in the range of $95 million to $110 million with planned increases over 2007 reflecting the following. For SGN-40, executing multiple clinical trials under the joint clinical development program with Genentech. For SGN-33 completing the Phase Ib clinical trial currently underway, continuing the Phase IIb clinical trial in combination with low dose cytarabine and manufacturing additional drug products to support future trials. For SGN-35 completing the ongoing Phase I clinical trial, initiating additional clinical trials and manufacturing more drug product. We expect that research and development expenses will continue to comprise approximately 80% to 85% of our total expenses and that expenses will be comparable quarter over quarter. 2008 expense guidance also includes non cash expenses projected to be in the $12 million to $15 million dollar range, the vast majority of which relates to share based compensation expense. This estimate is based on a number of assumptions including future stock prices and the number and timing of stock option grants and may therefore change. Revenues in 2008 will continue to reflect amounts earned under our SGN-40 collaboration with Genentech and our ADC collaborations. We expect total revenues in 2008 to be in the range of $27 million to $30 million. Lastly we expect that net cash use to fund our operating activities in 2008 will be in the range of $55 million to $65 million and we expect to end the year with more than $160 million in cash and investments. So with that I will turn the call back over to Clay.
Clay B. Siegall: Thanks Todd. Operator, at this point we would like to open the call for questions.
Operator: Thank you sir, ladies and gentlemen at this time we will begin the question and answer session. (Operator Instructions) One moment please for the first question. Our first question will from the line of Richard Smith with J.P. Morgan. Please go ahead. 
Richard Smith - J. P. Morgan: Good evening. I just wanted to ask you a question about SGN-33 the Phase Ib study you are enrolling in at the moment with 50 patients. Give us a sense of what the purpose of that study is. Does it allow you to go to development in the younger AML with patients? Can you give us a sense of the reason behind that study?
Clay B. Siegall: Sure Richard, this is Clay. Thank you for the question. We were pleased with our single agent response data in our Phase I dose escalation or Phase I if you will, Phase Ia dose escalation study and we wanted to understand a little bit more about the single agent activity and before we made any formal considerations to go forward on a potential registration track as a single agent. We already had decided to go forward into a large Phase IIb study at a combination agent, so we wanted more information as a single agent then and information at the dose we are taking to the Phase I to Phase II which is the 8mg per kilogram dose level which we are using in Phase Ib. In the Phase IIb study we are using a flat dosing which represents closely, it closely approximates 8 milligrams per kilogram so that we can roughly talk about that dose. Tom, do you want to add anything more? Tom Reynolds, our CMO.
Thomas C. Reynolds: Yes Clay, the only other comment was that the Ib study is also an older AML and MDS so it is really targeting that older population and really trying to clarify whether the response rate that we are seeing is... How we see that looks with more patients, better idea of the tolerability profile and whether it will help us move forward with the drug not only with the elderly population but also to understand how it might apply to the younger population. 
Richard Smith - J. P. Morgan: Is there any plan to younger patients? 
Thomas C. Reynolds: Yes, we are actively working on plans for how to bring this drug forward into younger AML. We think there are chances to use this both in combination with chemotherapy and also the post transplant setting. I think later on in this year as we continue to develop our plan and see some more data from the Phase I, we will be able to articulate that and give you more visibility into that so stay tuned.
Richard Smith - J. P. Morgan: Thank you very much
Operator: Thank you and our next question will come the line end of Mark Monane with Needham and Company. Please go ahead
Mark Monane - Needham & Company: Good afternoon and thanks for reviewing a very productive 2007. You have about it seems 6 trials planned or ongoing now in 40. Could you talk about, you must love all your children but are there ones that you have more confidence in than others? Clearly some are partnered with Retuxan so maybe of more interest to Genentech so could you tell us how you think about prioritizing these trials.
Clay B. Siegall: I can start that Mark. This is Clay. You know we don’t really each individual trial as a separate child, just like we try not to try to view all our drugs as separate children, you love them all. With SGN-40 what I can say is that the R-ICE study is the biggest and deepest study that we have ongoing so that one we are quite excited about, it s a Phase IIb study comparing R-ICE which is a very commonly used second line treatment for patients that have failed frontline [ARCHOPS] aggressive lymphoma specifically diffuse large B as we are focusing on versus the same R-ICE plus SGN-40. We think based on our Phase1 data showing nice antitumor activity at a well tolerated dose based on our preclinical data which showed that R-ICE plus SGN-40 is considerably better than R-ICE alone. We think we have a great shot at making a great impact here so that is why we have gone toward a fairly large study in this regard. I think that rather than say what study we liked the most the one that is the biggest and furthest along is our Retuxan R-ICE study in MHL and also I have to say that we are incredibly excited about our two myeloma studies. The ongoing Revlimid study and the one we are just going to announce in the near term with Velcade. One of the reasons we are very excited about that is because myeloma is a big unmet in the medical need. The addition of Velcade and Revlimid to the armamentarium for oncologists is great and very helpful for patients, but it is still an unmet medical need, still most patients will succumb to the disease. When Retuxan was added to create our chop for MHL it really changed the paradigm of how MHL treated and now you have a cure rate and there really is no cure rate right now with MM and what we look forward to in the future and the reason we are excited about myeloma with these two agents, Revlimid and Velcade, is that we would like to see if by combining an antibody to one of the cytotoxics can we provide a cure rate? Is that something we can try to achieve in the future? That is why probably the big reason we are excited about myeloma. Tom, do you want to add anything to that?
Thomas C. Reynolds: Yes Clay, there is one other thing to point out. We are doing a relatively good sized Phase2 single agent study which we are on track to finish enrollment of this year. One of the things that we find very exciting about this with Genentech is that they are applying a lot of their advanced molecular signature techniques and biomarkers to the study to help us look for a prognostic for stratification factors that will really help us to develop the drug going forward. We think my seed the path to registration, so from a scientific perspective that one has got a lot of extra bang for the buck and is on of the real values of having a collaboration with an industry leader like Genentech. 
Mark Monane - Needham & Company: I got it. That was very helpful and then one question on 33. We noticed from the analyst day and some of the presentations we saw at [Ashdad] there was a delayed response in some patients meaning that some patients may have progression and then got better or had some evidence of activity much longer or later than one would suspect. Are you dosing people with respect to the R-ICE and the SGN-33. Are you observing any of these effects so far to date. Is it the idea that the R-ICE will work sooner and that 33 may work later? How should we think about that?
Thomas C. Reynolds: That is a great question Mark, this is Tom. A couple reminders about the 33 study with R-ICE. It is a randomized double blind and placebo controlled study so we can’t really speak much about the efficacy data. What we can tell you is that our thinking about is that AML patients can be quite sick especially elderly patients. Using R-ICE which seem to act pretty quick, the combination with [wontoozinat] which takes a little bit longer in some patients we think is a good strategy. We are treating these patients until they have frank progression or can no longer tolerate the drug or die so that it is a survival end point study. Patients basically stay on drugs for the longest period of time and we think that gives them maximum chance for SGN-33 to add benefit and extend their survival. 
Mark Monane - Needham & Company: Thanks very much for the added information. Congratulations again on a productive 2007. We look forward to 2008.
Operator: Thank you and our next question comes from the line of Bret Holley with Oppenheimer and Company. Please go ahead.
Bret Holley - Oppenheimer & Co.: Thanks for taking my questions. Clay, I just wanted to clarify something. You said that he enrollment in the single agent refractory NHL trial for SGN-40 would be complete in 2008. Are you still expecting to present some of the data at [Ash 2008]? 
Clay B. Siegall: It is likely to be our intention but the [Ash] abstracts are not yet due so I can’t commit that we sent anything in yet because they are not due in until mid year but I think that’s is a likely scenario. 
Bret Holley - Oppenheimer & Co.: That trial was slated I think originally about 40 patients, is that still the size or the trial?
Clay B. Siegall: Correct.
Bret Holley - Oppenheimer & Co.: Okay. One other question. Has your thinking on potentially moving forward earlier in therapy in Non-Hodgkin’s evolved at all? With Genentech have their thought evolved at all and what likely is the kind of scenario we will see moving into earlier line therapy, combo Retuxan 40 versus Retuxan chop perhaps?
Clay B. Siegall: Right, I think that what you are asking is a very good question first of all and do we want to get into frontline therapy? And clearly we have had some cooperative groups talk to us about that even from the time before we did this partnership with Genentech we had people interested in that based on our single agent activity. After all our chop really was first presented unseen 10 years ago now and there has been really no advance to speak of in front line treatment of AHL patients past what happened 10 years ago. Partially because it was a good regimen but partially because there hasn’t been anything that is appropriate to add on top of this that would provide a lot of potential toxicity and so that is a possibility as far as our discussions about that. We would in the future in anything changes we will certainly update you but right now I don’t feel that it is appropriate for us to make comments on that without being part and parcel with our partner on that.
Bret Holley - Oppenheimer & Co.: Okay, thank you
Operator: Our next question will come from the line of David Miller of Biotech Stock Research. Please go ahead
David Miller - Biotech Stock Research: Thanks for taking my call and congrats on a very productive 2007. Can you talk about why you are exploring weekly dosing for SGN-35?
Clay B. Siegall: Sure I will start that then I will turn over to Tom. He may have some more comments on this. When we started going down the clinical pathway with our ADC technology we did not know ahead of time what kind of dose regimen would be best. So this is the first time we put an [orastatin] drug congregated clinic. We think that from the get go we decided that we would start with every third week and the FDA was clearly comfortable with that and allowed us to go forward on that and we agreed that once we got some safety data on every third week and looked a t this and looked at how the drug was in humans that we would go ahead and proceed with a weekly study to try and gain that information. That information could be useful yes for SGN-35 but could be useful for any of the other drug conjugates that we are developing and or our partners. For us it is really a programmatic decision as to why we want to go forward and evaluate the weekly dosing strategy. A far as it relates to SGN-35 we are pretty excited with our data. You can tell that from that our data is out there already, you can tell that we have publicly stated that including in this call that we have additional responses we will be presenting mid year at appropriate conferences like an [Ash] type conference and we are not planning on holding up anything to any potential development plan for our data on the weekly study. Now of course, we need to look at the data and it is going to be very important to us. It may impact this and other programs, but we are pretty excited with our data on every third weekly and we think that the right thing to do is to learn what goes on weekly dosing with this technology and this program. Tom do you ant to add to that?
Thomas C. Reynolds: Just a couple other things. One is that we are really pleased with the objective responses we are seeing and we are very much looking forward to updating everybody mid year on that. One of the things that is emerging over time is with the durability. So far we are quite pleased with that. We do anticipate that a number of the chemo regimens that are currently used in this setting are given on a weekly basis. We would really like to know whether our drug at some point in the future might be combinable with those and could be given on a similar schedule to make it easier for patients and doctors. We think there is a lot of reason to test that weekly to understand what benefits or challenges it might pose for even future drug development of 35 or for our entire agency portfolio. As Clay said, we are not going to slow down and wait for those data given what we are seeing with the every 3 weeks schedule. 
David Miller - Biotech Stock Research: How does the weekly dose that you use compare to the dose that you are using every 3 weeks? 
Clay B. Siegall: We haven’t started our weekly study yet, but clearly we are going to have to start at a lower dose and as [inaudible]
Thomas C. Reynolds: We have dose escalated to 1.8 and beyond every 3 weeks. We are doing an appropriate dose scaling to a dose that we know is very well tolerated and then we will do walking up the dose ladder there and not only evaluating tolerability of that but also in the form of co-kinetics. We will do some modeling on that as we go to help us really refine what the best dose and schedule is for patients. 
David Miller - Biotech Stock Research: Can you talk about your business development goals for 2008 as far as in licensing and out licensing?
Clay B. Siegall: Sure David and I think that probably the best person to do that would be the person who heads up our business strategy net area and that is Eric Dobmeier.
David Miller - Biotech Stock Research: Hi Eric.
Eric L. Dobmeier: Hi David how are you doing? There are a couple areas here, obviously there is product partnering and we did report data from SGN-33 and SGN-35 last year that has generated some good interest in those programs. We are in a good position to move those forward ourselves but we are interested in discussions with folks. If we could find a deal that would help us accelerate and expand where those programs are going we would consider it, especially outside of the US. Those are discussions that are ongoing. We are not in a big hurry to do a deal unless it makes a lot of sense for us strategically. On the ADC deals front we are talking to some folks that …. The last deal that we did on our ADC’s was with [Genesis] now it’s [Stellas]. That was a co-development structure. I wouldn’t rule out that we might not do an out-license of our ADC technology, but it would need to be on substantially higher terms than we have done in the past. We are also talking to folks about potential or opt in rights where we get a piece of a product in exchange for the technology which has a lot more value for us in the long run. In licensing we are always in the market for interesting antibodies either that we can develop as naked antibodies or through congregates. We will continue to do some of those deals at an early stage. We are not really actively looking to supplement our pretty robust pipeline with a clinical program but we will be opportunistic about that.
David Miller - Biotech Stock Research: Okay, last question I have is, can you run through where your thinking currently is for the timing for the expected first BLAs for 33 and 40?
Clay B. Siegall: Sure I will take that at least to begin with and we will see if there are other comments. I think you said 33 and 40?
David Miller - Biotech Stock Research: Yes.
Clay B. Siegall: Okay I think with 33, lets start there. With 33 we have an ongoing Phase IIb study that we discussed with R-ICE versus R-ICE plus SGN-33 in elderly AML patients that don’t qualify for aggressive chemotherapy. That study is a face to the study. It is how it has been designed but, it has been designed in registrational format; placebo controlled, double blind, randomized. Our end point is survival. If the data are good and we thing we have an excellent chance for that based on everything we have seen to date based on a single agent and our pre clinical work. If the data are good, that could lead to sensitive discussions with the agency and could potentially represent a registrational package on its own. It also could represent part of a registrational package depending on what studies we are pursuing so those are ongoing. As far as dates, we haven’t given any specific dates yet and specific guidance on actually when that would be expected. I think as we progress and go further we will start looking at providing more information, more color on that but right now we haven’t given any specific dates. You could start to look and see the dates that we have been giving which we believe our R-ICE study is a 2 year study and started at the end of ‘07 with data coming out of ‘09 and we will be presenting data at appropriate conferences thereafter. Thos are the types of timing that we could have information that could lead to a registration package. As far as SGN-40 goes that is a little bit different situation. Together with our partner Genentech we really haven’t put out specifics there and I’d rather hold off on discussing any specifics of any BLA filings or anything to include our partner, get involved in discussions of that with time we will be clear on that program with our timing but for now I would rather hold off On making anymore proclamations on SGN-40.
David Miller - Biotech Stock Research: Fair enough, thanks
Operator: (Operator Instructions) Our next question will come from the line of Jason Kantor of RBC Capital Market. Please go ahead.
Jason Kantor - RBC Capital Markets: Great, thank you. A couple questions as to SGN-30. There was a clinical trial that was stopped. Any update on that program and is there any interest on your part to develop that further internally or is that all being done externally now?
Clay B. Siegall: Thank you for the question Jason. There is no more update on SGN-30 and any of the programs that [they are attaching to] ongoing programs and we have no update at this conference call. As far as internal, we had made a corporate decision some time ago that we outlined at conference calls in the past that we were not going to be developing SGN-30 from a corporate standpoint. We were going to be working and collaborating with the National Cancer Institute providing drug products to evaluate SGN-30 in some combinations with chemotherapy regimens. That has not changed at all. We have turned our focus to the empowered form of an anti-CD30 antibody which is SGN-35 which is an ADC that we are excited about our responses. Really from a corporate standpoint the answer it we are directly focused on SGN-35.
Jason Kantor - RBC Capital Markets: On SGN-35 you said that you would be giving some kind of update on the regulatory strategy there. What are the choices that you are mulling over at the moment? What are the possibilities of regulator strategy for that?
Clay B. Siegall: You know Jason we are having internal meetings on that. We are talking to KOLs or key opinion leaders I should say for those of you who don’t know what KOL is. We are also speaking with our Board of Directors about various concepts and thoughts we have. There a lot of different, I wouldn’t say a lot of different, there are a few different ways that we could go down this path here that are emerging to us. Whether we go down 1 registration path or 2 or 3. There are a couple different paths we can go down. All of them are potentially ways we may go and we may choose to go with all of them but right now for this conference call I don’t really think that we want to start outlining the specifics of it but I can tell you that it is something that we are spending a lot of time and effort working on and quite frankly it is a heck of a lot of fun. It is a good way to spend a lot of hard working time is talking about the wonderful problem of having to figure out what type of registration paths you are going to go with a pretty active drug there.
Jason Kantor - RBC Capital Markets: On SGN-70 what autoimmune indication are you going to be targeting initially will you be able to go directly into that patient population, will you have to go to a Phase I and healthiest first? Is this going to be one of those situations where you start at sort of vanishing low doses and creep up slowly so that it might take a long time?
Clay B. Siegall: I think, Jason you touched on a couple of issues that face developing anything in autoimmune disease. You are not naïve to that kind of development. I think for specifics of the kinds of things you are asking at this point for competitive reasons we would rather not give out specifics.
Jason Kantor - RBC Capital Markets: Okay and you will I assume give out some specifics when you start those trials.
Clay B. Siegall: You can bet on that. You can bank on it.
Jason Kantor - RBC Capital Markets: All right. Thank you.
Operator: At this time there are no additional questions. I would like to turn the conference back over to Ms. Kingston at this time.
Peggy Kingston: Thanks operator. Thanks everybody for joining us this afternoon. That concludes our call.